Operator: Good morning. My name is Sergio, and I will be your conference operator today. At this time, I would like to welcome everyone to the Topaz Energy Corp. Third Quarter 2025 Results Conference Call. [Operator Instructions] I will now turn the call over to Mr. Scott Kirker. You may begin your conference.
W. Kirker: Thank you, Sergio, and welcome, everyone, to our discussion of Topaz Energy Corp.'s results as at September 30, 2025, which the 3 and 9 months ended September 30, 2025 and 2024. My name is Scott Kirker, and I'm the General Counsel for Topaz. Before we get started, I refer you to the advisories on forward-looking statements contained in the news release as well as the advisories contained in the Topaz annual information form and the MD&A available on SEDAR and on the Topaz website. I also draw your attention to the material factors and assumptions in those advisories. I'm here with Marty Staples, Topaz President and Chief Executive Officer; and Cheree Stephenson, Vice President, Finance, and Chief Financial Officer. They will start by speaking to some of the highlights of the last quarter and of the year so far. After their remarks, they will be open for questions. Marty, Cheree, please go ahead.
Marty Staples: Thanks, Scott. Good morning, everyone. Topaz had a strong third quarter, marked by royalty production growth, infrastructure processing revenue growth and record Clearwater royalty production volumes. Topaz's third quarter royalty production was 21,600 BOE per day and increased 15% from the prior year. Q3 2025 royalty production included record heavy oil production of 3,400 barrels per day, 17% higher natural gas royalty production and an 11% increase in total oil and liquids royalty production over the prior year. Topaz generated total third quarter revenue of $76.4 million, 49% from crude and heavy oil royalties, 20% from natural gas and NGL royalties and 31% from our infrastructure portfolio with full processing revenue and other income of $24.2 million, which increased 16% over the prior year. Topaz's infrastructure assets generated a 99% average daily utilization in the quarter. We estimate that operators invested between $500 million and $600 million of development capital across our acreage in Q3, with total operator spending across our royalty lands year-to-date between $2 billion to $2.1 billion. During the quarter, drilling activity on our acreage remains strong at a 161 gross wells, 6.3 net were drilled and 12 gross wells were reactivated with 52% of the drilling activity coming from the Montney and Clearwater operating areas. During Q3, 184 total gross wells were brought on production. And as at September 30, 94 gross wells were drilled but not yet completed, which represents approximately 58% of the Q3 2025 new wells drilled. Based on operator drilling plans, we expect that the current 27 to 31 active drilling rigs on our royalty acreage will be maintained through the fourth quarter of 2025. Topaz generated third quarter total revenue of $76.4 million and cash flow of $74.8 million or $0.49 per share and free cash flow of $73 million or $0.47 per share, both of which increased 7% per share over the prior year. Our Q3 2025 free cash flow margin of 95% also increased from 88% last year due to lower operating costs, a 24% reduction to our effective borrowing rate under the company's credit facility and an $8.7 million hedging gain realized during the quarter. Topaz's third quarter realized a hedging gain of $8.7 million includes a $7.1 million gain on natural gas-based financial derivative contracts, which represents a 144% premium to Topaz's third quarter realized gas price. For the fourth quarter of 2025, approximately 30% of Topaz's natural gas growth production is hedged at a weighted average fixed price of CAD 3.06 per Mcf and approximately 30% of oil and total liquids royalty production is hedged at a weighted average floor price of CAD 97.64 per barrel. Topaz distributed net $52.3 million in quarterly dividends, $0.34 per share during Q3, which represents a 5.4% trailing annualized dividend yield to the third quarter average share price. During the quarter, Topaz completed its previously announced Northeast BC Montney tuck-in royalty acquisition from Tourmaline for $71.7 million. This acquisition provides a new royalty interest on approximately 134,000 gross acres, of which over 65% is undeveloped and includes 410 future Tier 1 Montney drilling locations. This acquisition fully aligns Topaz to each of Tourmaline's future growth projects under their multiyear Northeast BC Montney build out plan. We have reconfirmed our 2025 guidance estimate ranges and expect to exit 2025 with net debt between $500 million and $510 million or net debt to EBITDA of 1.5x, while generating a payout ratio at the lower end of the 60% to 90% long-term targeted range, which provides financial flexibility for acquisition growth. At this time, we're pleased to answer any questions. Back to you, Sergio.
Operator: [Operator Instructions] Your first question comes from Josef Schachter from Schachter Energy Research.
Josef Schachter: My normal question, can you talk about what the M&A landscape looks like right now, especially with E&P companies being stretched with these low commodity prices. Is there more opportunity now in the infrastructure area, either for facilities that are in great shape and then you could be a partner there or in projects that are in the pipeline that once they're completed, then you can be in the deals at that point?
Marty Staples: Josef, we continue to see a lot of opportunity inside the M&A landscape. In Western Canada right now, there's a significant amount of assets for sale. We just saw a couple of those close over the last month that have been publicly announced. And we always continue to look for ways to participate, but don't feel like we need to participate in every single opportunity that's available. And so we'll be interested to see where we fit in some of these potential acquisitions. We have kept our payout at the lower end of the ratio, and that's by design. We want to use our excess free cash flow if it's available first. And as you saw us do kind of in the latter part of the quarter, we did use some debt to facilitate a deal with Tourmaline for $71.7 million. So we'll continue to be interested. And if there's something that fits, we'll try to be reactive to that. And then from a royalty infrastructure weighted opportunity set, I think there's opportunities on both sides. And we've proven that over the year. At the start of the year, we did a deal with Logan Energy, where it was a royalty infrastructure hybrid deal, and we completed a deal just recently that was a pure royalty deal. So we'll look to be kind of opportunistic on both sides of that.
Josef Schachter: Okay. Some of my clients have asked me if you're going to -- how does the royalty structure work with an NCIB? Is that something that if you saw the stock was trading below what you consider your fair value, would that be somewhere where you could allocate capital?
Cheree Stephenson: Josef, yes. So we've definitely looked at an NCIB, and we definitely like the thought of it. There's definitely a good reason and a rationale to reinvest back into our own portfolio as per se. But with liquidity and Tourmaline shareholdings, we have sort of pinpointed that as something we do once Tourmaline sold down a bit further. So at this time, we've decided to stick with the dividend strategy and not confuse that messaging, but it's definitely something that we continue to evaluate for future as liquidity continues to improve.
Operator: [Operator Instructions] There are no further questions at this time. You can proceed.
Marty Staples: Thanks, everyone. Look forward to talking to you in Q4. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.